Operator: Good morning and welcome to RMR Mortgage Trust First Quarter 2021 Financial Results Conference Call. All participants will be in listen only mode.  Please note, this conference is being recorded.  I would now like to turn the conference over to Kevin Barry, Manager of Investor Relations. Please go ahead.
Kevin Barry: Thank you, and good morning, everyone. Thanks for joining us today. With me on the call are President, Tom Lorenzini; and Chief Financial Officer and Treasurer, Doug Lanois. In just a moment, they will provide details about our business and our performance for the first quarter of 2021, as well as details about our proposed merger with Tremont Mortgage Trust. Please note that we will not be taking questions on this call, but we hope to do so on future calls. RMR Mortgage Trust recently transitioned to a commercial mortgage REIT, and currently does not have sell side research coverage. But we do hope a few firms pick up coverage of the company in the future. I would like to note that the recording and retransmission of today's conference call is strictly prohibited without RMRM's prior written consent.
Tom Lorenzini: Thank you, Kevin. Good morning, everyone, and thank you for joining us for RMR's Morgan's Trusts first earnings call. I'll begin with an overview of RMRM's business activity during the first quarter and we'll provide some commentary about the proposed merger with Tremont Mortgage Trust. I'll then turn the call over to Doug to discuss a recent investment activity and first quarter financial results. 
Doug Lanois: Thank you, Tom and good morning, everyone. I'll begin with an update on our recent loan investments and then discuss our financial results. During the first quarter, we close two loans with an aggregate capital commitment of approximately $65 million. The first is a $10.9 million bridge loan to finance the acquisition of a nine storey multi-tenant office building, containing 83,000 square feet in Miami, Florida. We also closed a $54.6 million loan to refinance two manufactured housing communities comprised of approximately 1200 home sites located in Ohio. This is our largest loan to date, and includes an initial funding of approximately $44.6 million and a future funding allowance of approximately $10 million for capital improvements to further enhance these communities.  Following the end of the quarter, we continued our investment activity with two additional new loans. We closed a $39.2 million loan financing the acquisition of two Class A cold storage industrial buildings located in Londonderry, New Hampshire. An initial advance of approximately $34.2 million was funded at closing with future advances of up to 5 million are available for tenant improvement, leasing commissions in capital expenditures. Most recently, we closed a $34.3 million loan to refinance a property comprised of 191,000 square foot office building, and a 97,000 square foot industrial building. Located in Colorado Springs, Colorado, an initial advance of approximately $29 million was funded to closing with future advances of up to $5.3 million. This marked RMRM ninth closing, increasing our committed capital to more than $250 million.  Turning now to our financial results for the first quarter. Due to our business transition in early January, a comparison of RMR Mortgage Trust first quarter earnings to the prior year period would not be meaningful. Today, we will focus on our results of the quarter ended March 31, 2021. Let's begin with the statement of operations. Our first quarter net income and distributable earnings came in at $0.03per common share. There were no non GAAP adjustments between net income and distributable earnings in the quarter. Interest earned on our investments amounted to $2 million as presented in our supplemental financial package, our weighted average all in yield on our investments as of March 31, was 5.7%. This includes our weighted average LIBOR floor of 77 basis points, a weighted average spread up 422 basis points, plus the amortization of our loan fees.
Operator: The conference has now concluded thank you for attending today's presentation. You may now disconnect.
End of Q&A: